Operator: Good day and thank you for standing by. Welcome to VinFast Auto's First Quarter 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers’ presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker, [indiscernible]. Please begin.
Unidentified Company Representative: Thank you, operator, and good morning to everyone. My name is [indiscernible], IR manager at VinFast. Thank you for joining us for our 2024 first quarter earnings conference. Joining me on the call today are Chairwoman of the Board, Madame Thuy Le, and our CFO, Ms. Anh Nguyen. We will start the call with first quarter performance update and present our outlook for the year. We will reference a presentation today which is accessible on the IR website. After management presentation, we will have 30 minutes for Q&A. Before I turn it over to Madame Thuy Le, let me remind you that some of the statements on this call include forward-looking statements under federal securities law. These include, without limitation, statements regarding the future financial and operating outlook, guidance, as well as macroeconomic, industry trends, company initiatives, and other future events. These statements are based on the predictions and expectations as of today. Actual events or results may differ due to a number of risks and uncertainties. We refer you to the cautionary language and the risk factors in our most recent filings with the SEC. In addition, management will make reference to non-GAAP financial during this call, a discussion of why we use non-GAAP and information regarding the reconciliation of our non-GAAP versus GAAP is available on the press release that we issued this morning or you can find it in the final page of our presentation. With that said, now I would like to invite Madame Thuy Le to start with management presentation.
Madame Thuy Le : Thank you, Ni. I'd like to start by addressing the broader EV industry context. It is important to acknowledge that macroeconomics and geopolitical uncertainties continue to impact businesses and consumers globally. As a global company, we operate in a diverse range of strategic markets, including North America, Europe, Middle East, Southeast Asia, and South Asia. While we are currently observing certain level of weaknesses in some of our markets, we view this as temporary challenges. Our confidence in the EV industry's medium and long-term prospects remains strong. This confidence stems from several factors, including supportive government initiatives and the EV markets anticipated transition from early to mass adoption, and the exponential growth projected in Ex-China markets. I also would like to re-emphasize our focus on EV over plug-in hybrid of gasoline cars. This strategy allows us to leverage our low-cost manufacturing base, mature supply chain, share platform, and to stay true to our mission to play an impactful role in the push for transition to green mobility and carbon neutrality. EV is a better choice to make it happen. Now let's turn to our progress in the first quarter. We entered a number of new markets and increased vehicle deliveries across our global markets. We delivered 9,689 vehicles during the first quarter, representing a year-over-year increase of 444%. While the majority of our sales this quarter was domestic, we saw an uptick in the US, [followed by] (ph) a special leasing deal of $249 per month on VF 8. We remain confident of our full year delivery target of 100,000 vehicles, supported by the robust ramp-up of showrooms and the availability of new models targeting a wider customer base in multiple new markets during the second half of this year. For the first quarter, our best-selling models were the A-segment VF 5, our current most affordable option that was launched last year, which accounted for about half of our deliveries, followed by the VF 8 and the VF 6. Our VF 6 model has been well received in the local market since its launch in late December last year and we are excited for the addition of this model to overseas markets where options for affordable and good quality EVs are still limited. Now I would like to share some updates on three fronts, dealership distribution, new markets entrance, and new product deliveries. Since we pivoted to the hybrid distribution strategy in the fourth quarter of 2023, we have made steady progress in developing our dealership network. Our capital-light model is steadily accelerating our global go-to-market strategy, and will support both our sales growth and cash position. At the end of the first quarter, in North America, our active distribution network includes 15 VinFast-owned showrooms in California, two showrooms owned by Leith and [Castor USA] (ph) in North Carolina and Kansas, and other VinFast-owned showrooms in Canada. In the US alone, we completed the signing of another 10 dealership agreements besides the pre-existing six agreements. We are working to continue growing our dealership coverage in this region and we'll share more progress in our future announcements. We are already seeing our hybrid distribution strategy deliver promising results in the US, with sales starting to be generated from our dealers. We have also seen promising growth in the US market following the launch of VF 8 and its continuous improvements and software updates. We expect further growth in 2024 as the VF 9 will be available for delivery in the US market starting in late Q2, early Q3 and the VF 7 after that. Notably, we saw a pickup in consumer interest on the back of attractive list offers amidst macroeconomic headwinds, confirming our belief in consumer demand for EV in this market. Our dealers have been receiving positive feedback from US customers. Most were surprised how well equipped the VF 8 is, as the first product from a new EV brand. Customers have particularly praised the smooth acceleration, spacious interior with comfortable seats and well-thought-out layout. In addition to the US, Canadian and European markets, we are also exploring dealership partnerships with other parts of the world, while the EV revolution is still at early stage, like in South and Southeast Asia. At the same time, capturing opportunities in new markets, such as the Middle East and Africa. As discussed in the last quarter, Asia will remain one of our key strategic markets. We believe that it represents the future of the automotive and electric vehicle market, driven by demographics and government drive and incentive for EV adoption. Let's take a closer look at our performance in three key markets in Asia. We will start with Thailand. Last month, we announced our official launch in Thailand, one of Southeast Asia's most vibrant electric vehicle markets with a relatively established charging stations infrastructure out of ASEAN countries. To showcase our commitment to sustainable mobility, we unveiled a diverse range of green solutions during the Bangkok International Motor Show and signed LOI with 15 initial dealers in Thailand. Many of those are already discussing with us regarding optimal showroom locations. At the event, we display right-hand drive versions of six of our models, including the VF 5, VF e34, VF 6, VF 7, VF 8, and VF 9, along with our complete lineup of electric scooters and our electric pickup concept, the VF Wild. Now I would like to turn to India. India's rapidly growing market has great potential and is a key component of our global multifaceted expansion strategy. During February, we broke ground on our EV manufacturing facility in the state of Tamil Nadu and by the middle of March, construction was already underway. We take a realistic capital allocation approach with the initial CKD phase of 50,000 EVs per year and would be able to rapidly increase capacity as conditions require. And finally, let's turn to Indonesia. Following our successful debut at the 2024 Indonesia International Motor Show in February, we started opening orders for the VF e34 in Indonesia last month, marking another milestone in our expansion in Southeast Asia. With the introduction of this model at a very competitive price, our aim is to support Indonesian consumers, as they embark on the journey towards a sustainable transportation future. Also, the first dealer store was opened in Greater Jakarta, which will start selling the VF 5, VF e34. During 2024, we plan to expand our EV distribution network across major cities in Indonesia. With regards to our expanding product lineup, the much-awaited VF 3 is under development, well on-track for launch locally in Vietnam within 2024, and then overseas from 2025 onwards. VF Wild, our highly anticipated pickup truck, is at early stage of study, and we plan to share a target launch soon. Other milestones achieved in the first quarter of 2024 include closing our merger with VinES Energy Solutions. This is an important step in completing VinFast integrated supply chain and will help to build a competitive advantage for us in the global EV market. We started building our own charging network in Vietnam that is exclusive to VinFast in addition to working with partners overseas, allowing VinFast access to over 850,000 charge points globally. Our Founder recently established an independent charging infrastructure company, V-Green, to focus on developing charging stations. This will aid VinFast's global expansion, especially in markets where infrastructure is still at an early stage. V-Green shall act as a partner of VinFast and will provide charging access to VinFast EVs in many markets, which shall translate into [reduction in CapEx] (ph) for VinFast, helping VinFast stay focused on our EV businesses growth. Looking ahead, we remain committed to executing our strategic priorities to strengthen and grow our business globally. With regards to our product lineup, our focus during 2024 includes first delivering the new highly expected and very affordable VF 3 model in the domestic market. Secondly, delivering the new product VF 9, VF 7 in North America. And finally, completing our full EV-lineup for global markets in both left-hand drive and right-hand drive versions, along with the worldwide launch of all models. With regards to our global footprint, we expect to start delivering our EVs in market with high EV-demand growth, including key focus on Indonesia, Thailand, the Philippines, and India this year. Our team in these markets are proactively working with dealers to accelerate the readiness of their showrooms. Our distribution partners in other parts of the world are also progressing to the next phase of discussion needed to import EVs and commence local sales. In closing, we expect the majority of sales to come in the second half of the year with the first half dedicated to setting up the foundation, including production ramp up, new product launch, and finalizing dealership agreements. With that, I would like to hand over to Lan Anh, our CFO, to present our financial results of the quarter.
Nguyen Thi: Thank you, Madame Thuy. And hello, everyone. First, I'd like to address a housekeeping item. As mentioned in the previous call, following the completed acquisition of VinES in January, a significant step towards completing VinFast [fully-increased] (ph) production chain, We consolidated the two companies' financial statements in the first quarter of 2024 and we stated the full year 2023 incorporating VinES financials for comparison purposes. The impacts on the financial statement in the first quarter of 2024 include a $4.7 million increase in R&D and an $11.3 million increase in depreciation expense. We kicked off 2024 with $302.6 million in revenues for the first quarter. As a lowest season in the domestic market, this is a decline of 31% compared to the previous quarter, within an improvement on a year-over-year basis with revenue up by 269.7%. I'd like to remind you all that Q1 2023 recorded only about 6.8% of our full year's revenue or only 5% of our 2023 total delivery. Our Q1 2024, was in-line with our internal forecast on the expectation of increasing brand awareness and acceptance, positive impacts of our active sales and marketing campaigns, and the early contribution of our expanded dealership network. Our gross loss in the first quarter of 2024 was $150.8 million, equivalent to a gross margin of negative 49.8%, as compared to negative 172.9% in the first quarter of 2023 and negative 43% in the fourth quarter of 2023. The improvement of gross margin over the first quarter of 2023 was attributed to increased sales and improved costs. As Q1 sales was low -- seasonally gross profit margin declined compared to the Q4 last year, mostly due to depreciation. Our bill of materials has showed constant progress and will be one of the key drivers for lower cost and profitability. On the operational front, we have made strides in improving our profitability. Our operating loss in the first quarter of 2024 was $421.8 million, representing a decrease of 7.8% from the first quarter of 2023 and a decrease of 15.4% from the fourth quarter of 2023. This was largely due to the decline in our R&D expenses, the majority of which were front-loaded by design in the early years of our product development. With increasing product readiness, expanding dealership network and [growth] (ph) brand awareness, we expect our operating margins to improve in the future. Turning to our liquidity position, as of 31st March 2024, we have not utilized our reserves of $1.8 billion including cash on hand, reserves in grants from [indiscernible] facility. This can continue to support our cash needs for operations and mandatory CapEx needed underlying our growth plan this year. We expect around some CapEx between $1 billion and $1.5 billion in 2024, majority of which is to fund the construction of VinFast manufacturing facilities in the US, India and Indonesia. We plan to fund this using our liquidity reserves, as mentioned above, and if needed, from the new funding resources, combining equity and equity-linked. We committed to our manufacturing expansion plans, but also understand the ability to achieve our top-line target of 2024 independently as our Vietnam's product ramp and growing global distribution network can support such growth. Our debt service is prepared using refinanced or extended facilities that have been [agreed] (ph) in principle with our partners, besides being supported by our self-generated cash flows. In summary, our financial performance in the first quarter of 2024 is in-line with our internal forecast. We continue to accelerate the foundational work to meet our 2024 targets in the next quarters. The executive team has a very flexible and adaptive mindset to address real market conditions quickly. And as Madame Thuy has mentioned earlier, we are very excited about our second half and the longer-term outlook VinFast. With that, I will turn back to Madame Thuy for closing remarks.
Lan Anh : Thank you, Madame Thuy. And hello, everyone. First, I'd like to address a housekeeping item. As mentioned in the previous call, following the completed acquisition of VinES in January, a significant step towards completing VinFast [fully-increased] (ph) production chain, We consolidated the two companies' financial statements in the first quarter of 2024 and we stated the full year 2023 incorporating VinES financials for comparison purposes. The impacts on the financial statement in the first quarter of 2024 include a $4.7 million increase in R&D and an $11.3 million increase in depreciation expense. We kicked off 2024 with $302.6 million in revenues for the first quarter. As a lowest season in the domestic market, this is a decline of 31% compared to the previous quarter, within an improvement on a year-over-year basis with revenue up by 269.7%. I'd like to remind you all that Q1 2023 recorded only about 6.8% of our full year's revenue or only 5% of our 2023 total delivery. Our Q1 2024, was in-line with our internal forecast on the expectation of increasing brand awareness and acceptance, positive impacts of our active sales and marketing campaigns, and the early contribution of our expanded dealership network. Our gross loss in the first quarter of 2024 was $150.8 million, equivalent to a gross margin of negative 49.8%, as compared to negative 172.9% in the first quarter of 2023 and negative 43% in the fourth quarter of 2023. The improvement of gross margin over the first quarter of 2023 was attributed to increased sales and improved costs. As Q1 sales was low -- seasonally gross profit margin declined compared to the Q4 last year, mostly due to depreciation. Our bill of materials has showed constant progress and will be one of the key drivers for lower cost and profitability. On the operational front, we have made strides in improving our profitability. Our operating loss in the first quarter of 2024 was $421.8 million, representing a decrease of 7.8% from the first quarter of 2023 and a decrease of 15.4% from the fourth quarter of 2023. This was largely due to the decline in our R&D expenses, the majority of which were front-loaded by design in the early years of our product development. With increasing product readiness, expanding dealership network and [growth] (ph) brand awareness, we expect our operating margins to improve in the future. Turning to our liquidity position, as of 31st March 2024, we have not utilized our reserves of $1.8 billion including cash on hand, reserves in grants from [indiscernible] facility. This can continue to support our cash needs for operations and mandatory CapEx needed underlying our growth plan this year. We expect around some CapEx between $1 billion and $1.5 billion in 2024, majority of which is to fund the construction of VinFast manufacturing facilities in the US, India and Indonesia. We plan to fund this using our liquidity reserves, as mentioned above, and if needed, from the new funding resources, combining equity and equity-linked. We committed to our manufacturing expansion plans, but also understand the ability to achieve our top-line target of 2024 independently as our Vietnam's product ramp and growing global distribution network can support such growth. Our debt service is prepared using refinanced or extended facilities that have been [agreed] (ph) in principle with our partners, besides being supported by our self-generated cash flows. In summary, our financial performance in the first quarter of 2024 is in-line with our internal forecast. We continue to accelerate the foundational work to meet our 2024 targets in the next quarters. The executive team has a very flexible and adaptive mindset to address real market conditions quickly. And as Madame Thuy has mentioned earlier, we are very excited about our second half and the longer-term outlook VinFast. With that, I will turn back to Madame Thuy for closing remarks.
Madame Thuy Le : Thank you, Lan Anh. Finally, I would like to conclude reaffirming our target of 100,000 deliveries of 2024. We stay focused on launching new products and entering new markets to support this target. Cost control is a priority for us, and we have shown progress quarter-over-quarter since last year and continue to be our daily to-do item, including bump costs, production costs, [general operational] (ph) costs, and always screening and opting for the most cost-effective options available. We maintain our target of breakeven by the end of 2025. I would like to hand over to the operator for the Q&A section.
Operator: Thank you. [Operator Instructions]
Unidentified Company Representative: Thank you, operator. We already have the first two questions from [Tung Duc] (ph), the Capital Securities Company. The first question is, how do you plan to achieve 100,000 EV guidance while Q1 is only slightly more than 9.3%?
Madame Thuy Le: Thank you. We maintain our guidance of 100,000 EVs in 2024. Low price products to be added in the coming quarters, targeting a broader customer base combined with a growing dealership network and expansion to the market will make our EV much more accessible to customers and have accelerated [enhance pull-out] (ph) and drive our sales growth in the second half of the year. As Lan Anh already mentioned earlier, so the Q1 performance is in-line with our internal forecast, reflecting a low season for Vietnam and delivery based on the existing models mostly. Overall, the first half of 2024 is the time where we focused on the foundation for growth in the second half, including signing with dealers in the US and globally, accelerating the opening of new showrooms with them, and at the same time continuing to complete the development of products and different variances to be added to the market.
Unidentified Company Representative: Thank you, Madame Thuy Le. We have the second question. How many of your deliveries in Q1 came from GSM?
Madame Thuy Le: Thank you. Vietnam remains the key market in Q1 and products for the market overseas are underway to be sent out and delivered in the coming quarters. And for GSM, GSM in Q1 is about 52% of total delivery, less than last year.
Unidentified Company Representative: Thank you, Ms. Madame Thuy. We have the next question from John Murphy, Bank of America. Can you disclose the profit from e-scooters versus EVs, maybe even just directionally?
Madame Thuy Le: So e-scooters have been in the market longer than EVs, and so we have time to optimize on them. The profit on EVs picking electric motor. E-scooter is getting there in terms of -- like a breakeven. So, yeah.
Unidentified Company Representative: Thank you, Madam Thuy. The second question is, when is your target going to reach gross profit breakeven? Has anything changed with recent EV pricing pressures?
Madame Thuy Le: We remain to target gross profit margin breakeven by 2025. Some models might return profit earlier than others because they've been on the market for longer, but overly 2025 is still the target for the whole portfolio. Pricing pressure. We are assessing and we continue to study the impacts of the market conditions. We adopt, as you can see, a very flexible approach in our go-to-market execution to make sure that it fits the market conditions that we enter and we are able to do so, thanks to the wide range of products, especially those at the very affordable price point. So we are very diversified in our market target, which gives us room to be creative as well. The ultimate and the most important goal is to achieve our target and make sure that our offering is competitive and we take care of the total cost ownership throughout the life cycle for the customer, basically giving them high value for the purchase.
Unidentified Company Representative: Thank you, Madame Thuy. And the third question from John is, could you make sense to focus on growing in fewer markets to focus on volume growth, and expand market later?
Madame Thuy Le: We continuously evaluate our entry into each of the markets. As you can see, we focus on a few markets -- few of the markets are actually important to us, and we focus our resources on those markets. However, we have the opportunity to play on a [global field] (ph) thanks to our unique benefits from the trade agreements with many countries and we are not restricted by geopolitical constraints. So we would like to roll out to multiple markets where we can. Yeah, but you will see that certain markets are important to us and we focus more resources on those markets.
Unidentified Company Representative: Thank you, Madame Thuy. We have the next question from [Thuc-Thanh] (ph). What is your refinancing plan for the domestic bond was [VND11.5 trillion] (ph) that will mature in December 2024.
Nguyen Thi Lan Anh: So this is a tech-combined bond which is already in the refinancing plan agreed with our partner.
Unidentified Company Representative: Thank you Ms. Anh Nguyen. We have the next question from Thuc. Why did the loss in Q1 2024 gross margin widen versus Q4 2023?
Nguyen Thi Lan Anh: The gross margin in 2024 Q1 widened versus the Q4 2023, due to the low seasonal sales. Gross profit margin was higher compared to the Q4, mostly due to the depreciation allocated to the low volume. In fact, our bill of material has shown a constant progress and now will be one of the key drivers for a lower cost and [turns] (ph) profitability as mentioned.
Operator: Dan Ives from Wedbush, your line is now open. Please ask your question.
Dan Ives: Yeah, thanks. So, can you talk about how important is Indonesia on the growth plan, especially this year?
Madame Thuy Le: Hi, Dan. Nice to hear your voice. Indonesia is one of the key important markets for us. It's a large market, over – sorry 350 million people. It's the most populous country in the world, very low EV penetration. And so we start out in the market on the same footing as with other people. So it's a very, very important market. And it's part of ASEAN as well. And we've been focusing on this market from the beginning of the year.
Dan Ives: Great, and then just to follow up, so Madame Thuy, when you think about the 100,000 for the year -- here it is, we're seeing in April, I mean, does it feel like everything is sort of tracking, you know, relative to expect -- I mean, if you think about where we were even three, four months ago, can you just talk about that just from a trajectory perspective, in terms of as much as you could talk about it.
Madame Thuy Le: Sure. Q1 lastly check our internal plan for the year. So we also -- we're confident about the guidance of 100,000 vehicles. As I mentioned from the last earning call, most of the deliveries will happen in the second year. We still rely a lot on the domestic market. However, we also started expanding into international markets. And as the products are available for international markets And dealership agreements are signed, the showrooms are open, markets enter. We will start seeing more volume coming in next [month] (ph). We're still confident about the numbers.
Dan Ives: Okay. Awesome. Thanks.
Madame Thuy Le: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Brian Dobson with Chardan Capital Markets. Your line is now open.
Brian Dobson: Hi. Good morning. Thanks very much for taking my call. So I guess first you provided some good color on the expansion of your hybrid dealership network in the United States. Do you think you could speak to some of the feedback you're hearing from those dealers, what the new potential dealers are excited about, what some of their hesitancies might be, and the overall tone of those conversations?
Madame Thuy Le: Sure. We signed 10 more dealership agreements in Q1 with the addition of the six agreements that we already announced. So we have 16 dealership agreement signed in the US. We are still evaluating I think 82 different applications for about close to 150 locations in the US. So very robust pipeline of showrooms for consideration in the US. The feedback that we receive is pretty positive. As you could see that two of the dealership points already opened and started selling in Q1. The feedback from the customers is good about the products. We received lot of also constructive feedback from the dealers as well in order to improve our own service and product offerings. But so far the dealers are very excited and very cooperative and happy with us.
Brian Dobson: Yeah, thank you for that color. You know, As you're thinking about sales through the balance of the year, there have been many recent reports that have pointed to weaker near-term electric vehicle demand and rising production of hybrid vehicles. Do you think that that's a very US and European focused viewpoint? And furthermore, do you believe that potential relative softer demand in the near-term in those markets could be offset by potential sales in Asia and the rest of the world, other markets that you're selling into?
Madame Thuy Le: Yeah, we believe that the sales for EV is still growing. Maybe it's not growing as fast as growth rate as before, but it's still growing and that's clearly show in the statistics [or] (ph) all the regions, even in the US and European markets. Actually you brought up a very interesting point that maybe is different between US and European and other markets because I think in US and European more developed markets, we will start having to -- after the initial adoption, then you have to start dealing with the -- adopting the mass market right, with people that use the EVs for their daily use versus in a more nascent markets like Indonesia, India, like ASEAN for us where easy adoption is still very low and we will start by enabling the adoption with various strategies. So our approaches to more developed markets versus nascent markets are slightly different as well, and the potential are also different in those markets.
Brian Dobson: Yeah, thanks. I think that's an important point to distinguish there. And then I guess just thinking about the balance of the year, I suppose EV sales were roughly sub 10% in the first quarter, which was pretty close to our expectations. As you're thinking about sales cadence in 2Q, 3Q, and 4Q, I suppose, right now, do you think that the lion's share of sales will be coming in the back half of the year? Can you give us any additional color on cadence?
Madame Thuy Le: Yes, so we -- as we -- if you look at some major -- I mean, Vietnam will continue growing as we adding more vehicles, right? So VF 7 just started, so we -- especially when the VF 3 come in toward the end of the year, we will start seeing more volume from the affordable models. Because in Q1, you could see that about half of our sales from the VF 5. And people are very excited about the upcoming more affordable model VF 3. So Vietnam will continue growing, the other markets in a while, as we start delivering in end of Q2, early Q3, and then in Q4. You start seeing the volume in those markets as well. And in the US and North America in general, as we add more and more dealership points to our mix and as they start selling in the whole North America, you will also start seeing more volume coming in. So we are still confident about the guidance of 100,000 vehicles per year for this year. But most of it will start coming in -- more in Q3 and Q4 this year.
Brian Dobson: Excellent. That's very encouraging. Thanks so much.
Madame Thuy Le: Thanks a lot Brian.
Operator: Thank you. One moment for our next question, please. Our next question comes from the line of Andres Sheppard with Cantor Fitzgerald. Your line is now open.
Andres Sheppard: Hi. Good morning, everyone, or good evening, and congratulations on the quarter, and thanks for taking our questions. I think a lot of our questions have been asked by now, but maybe just following up on Brian's questions. Similarly, how should we think about gross margins throughout this year and maybe early into next year, understanding that the higher volume vehicle deliveries will come in the second half? So presumably -- that's when we'll see the big improvement in margins. But just curious if you could perhaps give us some color on how should we think about margins for next quarter and maybe for the second half of this year. Thank you.
Madame Thuy Le: Hi, Andres. So as I mentioned in the last earning call and we are tracking similarly to previously where we believe that we should be getting close to the gross margin breakeven for the whole portfolio by the end of this year, early next year. Different products are different. The products that are more mature, like in VF e34, VF 5 in Vietnam for example, we're getting there faster. And the newer products in newer markets with smaller volume will get there a little bit slower. But as a whole portfolio, we're heading into a gross profit margin positive early next year. So that's the plan.
Andres Sheppard: Got it. Thanks, Thuy Le. That's helpful. And maybe to follow up there, how should we think about liquidity and potential capital raising opportunities throughout the year? I'm wondering how you're thinking about that still and any color there that you can provide. Thank you.
Madame Thuy Le: So as Lan Anh mentioned before, we still have the same pool of liquidity that we had at the beginning of the year. So we haven't tapped into it yet. The cash -- the grant from our shareholders, the [indiscernible], they're all still intact. And we've been continuing the operations. We have multiple fundraising in the pipeline as well for various projects. So as they materialize, we will be able to discuss more. But we also plan our investment spending accordingly as well. Otherwise, we still have the liquidity reserve, we still have our operations and we're pushing according to the plan.
Andres Sheppard: Got it. That's very helpful. Thank you. And maybe just one last one, if I could. Just wondering any updates on the North Carolina facility and is that still on track for middle of next year? Thank you.
Madame Thuy Le: North Carolina is still ongoing. We're still on track to start the operation by the end of next year, start hiring in a lot of workers and putting in operations by the end of next year. But probably the full operation will take a couple of months.
Andres Sheppard: Wonderful. Great. Thank you so much. I'll pass it on. Thanks again. Bye-bye.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Tyler DiMatteo with BTIG. Your line is now open.
Tyler DiMatteo: Yeah, hi, good morning everyone. Thanks for taking the question there. I wanted to just talk a little bit about India here and the recent news from the government trying to incentivize EVs and a lot of global auto OEMs potentially looking to enter the market. I mean, could we see you guys try and pull that factory forward? I guess just broadly speaking as well, how are you thinking about the strategy for that market given, you know, the construction is ongoing at the facility today. Just any broad strokes on that. Thank you.
Madame Thuy Le: Thanks, Tyler. We also benefit similarly from the EV policy in India with our factory. So we also get significant -- we get the benefit before we -- tax benefit before we open the factory as well as the incentives from the government for investing in India. So the factory is – we cleared the land. I [was] (ph) there last week. We cleared the land. We started the construction. It's -- so we implement a very frugal CapEx plan with that factory. So we're building -- what we're building is 50,000 CKD factory, simple, effective to start with, and we can scale it up as and when needed. But right now the total investment is not major. There's a lot of benefits coming from the government as well for building the EV factory in India. So we see a lot of benefits out of that. And also India markets, since you brought it up, is a very important market for us. However, the consumers are quite price sensitive and sensitive to the warranties and other -- the service of the company. So we believe that our wide range of products and our warranty, our market -- the industry leading warranty will have further comfort to the consumer in India. So huge market again, and we have a lot of confidence in the market.
Tyler DiMatteo: Okay, great. And then in terms of the margin break-even target, I'm curious, you know, how much of the incremental benefit of reaching that target do you expect to kind of just come from overall fixed cost absorption as you scale up the factory versus benefits of component sourcing and bill of materials. Just curious how you're thinking about squeezing out some incremental efficiencies there, as you look to roll out the different products here and increase prices in the market.
Madame Thuy Le: So last year -- in the last year-and-a-half, when we started building the vehicles factory here in Vietnam. As you know, at the beginning, there's a lot more wastage, we have a lot more fine-tuning to do. So we did a lot in terms of optimizing the production in the past year, year-and-a-half already. And we achieved a lot of optimization from the production cost per unit. However, as we ramp up the volume, then a lot of the fixed cost can be spread over the higher volume and then as a result of that unit cost will be lower. So we expect that this year as well. However, most of the savings, most of the optimisation, we believe will come from the optimisation of the bill of material and all the initiatives, like hundreds of initiatives that we are taking this year in order to bring down the [BOM] (ph) cost. The other cost optimization initiatives as well, like operational costs in general, but we think that the BOM cost when optimization and the volume scale will bring the most saving for unit.
Tyler DiMatteo: Okay, great. Thank you. Really appreciate the time. We'll turn it back to the queue.
Operator: Thank you. I'm currently showing no further questions on the phone lines. I'd like to turn the call back over to [indiscernible] for closing remarks.
Unidentified Company Representative: Thank you, operator. We have the next question from [Huyen Feng] (ph). How is your negotiation with PVOIL to establish charging points in the gas station?
Nguyen Thi Lan Anh: With the PVOIL, VinFast maintains a cooperation with PVOIL to set up a charging station throughout PVOIL gas station. Then most parties can share mutual revenue sharing.
Unidentified Company Representative: Thank you, Ms. Anh Nguyen. We have the next question from Thanh Le, VCBF. Please share your criteria to choose to cooperate with a dealership. And what are the typical terms in the cooperation between VFS and a dealership?
Madame Thuy Le: So, Let me talk about the terms first. I think our terms, we have basically the same terms for dealership in different markets. We have different set of terms, like for example in Vietnam market, in US market, Canada, Europe, and the Middle East, for example. So we have basically similar terms for those dealers, because each of the markets have the – have different – they have specific characters to them. In each of the markets we take applications from the dealers and we evaluate various criteria for the dealers starting from their performance, their history with other brands, their financial situation, especially the location and the showroom that they want to open with us. We get to know the dealers intimately because it's a long-term partnership. So we need to get to know our partners. So it's a very detailed process in order to get to know the dealers before we sign the dealership agreement with them.
Unidentified Company Representative: Thank you, Madame Thuy. We have another question from Mike Novak. Can you confirm details of the VF 7 launch in North America such as starting price, first delivery date?
Madame Thuy Le: The current plan is to start delivering VF 7 in the US in Q3 or Q4 this year. We will announce the starting price later when we -- right before the launch of the market.
Unidentified Company Representative: Thank you, Madame Thuy. We have now concluded the Q&A section. Thank you everyone again for joining us today. Should you need any clarification, please let us know by sending an email to ir@vinfastauto.com. We look forward to speaking with you again soon. Take care and goodbye.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect, everyone have a wonderful day.